Operator: Good day and welcome to the Xcel Energy's Second Quarter 2015 Earnings Company Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Paul Johnson, Vice President of Investor Relations. Please go ahead.
Paul A. Johnson - Vice President-Investor Relations: Good morning, and welcome to Xcel Energy's 2015 second quarter earnings release conference call. Joining me today are Ben Fowke, Chairman, President and Chief Executive Officer; and Teresa Madden, Executive Vice President and Chief Financial Officer. In addition, we have other members of the management team in the room to answer your questions. This morning, we will update you on recent legislative, regulatory, and business developments, review our 2015 second quarter results, and reaffirm our 2015 earnings guidance range. Slides that accompany today's call are available on our webpage. Please note we have updated our slides to provide more information. In addition, we will post a video on our website of Teresa summarizing our financial results. As a reminder, some of the comments during today's conference call may contain forward-looking information. Significant factors that could cause results to differ from those anticipated are described in our earnings release and our filings with the SEC. I will now turn the call over to Ben.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Thank you, Paul and good morning. Today I'm going to provide a business update and discuss our recent legislative efforts in Minnesota and Texas. Later, Teresa will provide more detail on some of our recent regulatory decisions and financial drivers. We reported $0.39 for the quarter, flat with last year. Overall, we've had a solid first half of 2015, with results generally in line with our expectations. While we've had some challenges from lower than expected sales, unfavorable weather and additional adjustments from the Monticello proceeding, we fully expect to deliver 2015 ongoing earnings within our guidance range of $2 to $2.15 per share. I want to start by saying how pleased I am with the company's response to recent storms across our Minnesota and Wisconsin service territories. Two weekends ago, intense winds with speeds between 70 to 80 miles per hour knocked out service for 250,000 customers. Our employees in the field responded quickly and effectively, restoring 75% of our customers within 12 hours and 98% within 45 hours. All of our customers were restored to power within three days. This event is yet another reminder of the company's top-tier storm restoration efforts and illustrates the value of building a resilient system. We also hit several additional operational milestones during the quarter that I wanted to share with you. Beginning with our Monticello nuclear facility, we are very happy to report that this month we received NRC concurrence and reached 671 megawatts of generation. The facility is now fully in service, operating at designed capacity and meets all the requirements of the Minnesota commission to be considered used and useful. Finally, our Cherokee combined-cycle natural gas plant in Colorado successfully completed its first fire on gas and is on time and on budget. Last year we spoke to you about our refocused strategic plan with a key tenet being improving the performance of our utilities and reducing the ROE gap. Our approach was to target the jurisdiction where the gap was the greatest and seek legislation in those states to improve the timeliness and method of cost recovery. Beginning with Minnesota, last month the Governor signed into law a bill that contained several notable enhancements to the regulatory framework. The legislation expands the length of multi-year plans to up to five years, allows for a more formulaic approach to recovering capital investments, provides for the recovery of O&M expense based on an industry index, and allows rider recovery of distribution costs that facilitate grid monetization. We're now considering how to include these improved mechanisms in our Minnesota rate case filing scheduled for later this year. In Texas, we, along with several other non-ERCOT utilities sponsored legislation that will reduce regulatory lag and provides for improved inclusion of post test year capital additions, more timely implementation of new rates, and greater flexibility and more timely recovery of new natural gas plant investments. The Governor signed the bill last month and while this does not eliminate all regulatory lag in Texas, it does represent an important incremental step towards improvement. We feel the legislation in both Minnesota and Texas strengthens the regulatory compact, helps to close the ROE gap and enhances our ability to meet our long-term earning growth objectives. Moving to Colorado, we anticipate that the Colorado Commission will be scheduling informational meetings to examine the long-term supply of natural gas and approaches to managing prices, including the rate basing of natural gas reserves. We continue to see the value of these types of investments for our customers, particularly when considering the current low-price commodity environment. After the information meetings are held, we plan to make a regulatory filing before year end that will establish a formal framework that incorporates feedback from the meetings. Following the commission's decision on a preferred framework, we anticipate filing for the approval of potential investments during the second half of 2016. In Minnesota, we were pleased to see, the Minnesota Commission supported our settlement with smaller solar developers, which limits the size of proposed solar gardens to no more than 5 Megawatts. This important policy settlement ensures that Minnesota has one of the largest community solar gardens in the country rather, but also minimizes the impact of the program on our customers' bills. Xcel Energy continues to be a major advocate of solar and we view it as an important and growing component of our resource mix. However, we want to ensure that it's done at the most attractive price point for our customers. A couple of recent studies confirm that utility scale solar is far more cost-effective for consumers than smaller applications and we think it's important that policy be based on these sound economics. So while solar gardens and rooftop solar have a place in our portfolio as an option for consumers, because they require heavy subsidization from non-participants, you will continue to see us advocate that the primary focus be on utility scale solar so that we can keep energy cost affordable for consumers as we move to cleaner energy sources. So I think we've made significant progress during the first half of the year. We look forward to implementing some of these new mechanisms and policies in the coming months. And with that, I'll turn it over to Teresa.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Thanks, Ben and good morning. Today we reported ongoing earnings for the second quarter of $0.39 per share, flat with last year. The most significant drivers in the quarter were improved electric margin, which increased earnings by $0.06 per share, largely due to new rates and higher rider revenue driven by infrastructure investments that provide long-term value to our customers. These incremental revenues were partially offset by unfavorable weather and lower sales. Additionally, offsetting the higher electric margin was increased depreciation, higher property taxes, and lower AFUDC. Each of these items separately had a negative $0.02 per share impact on earnings. Turning to sales, our year-to-date weather-normalized electric sales were down four-tenths of a percent, driven primarily by declines in the residential class, partially offset by modest growth in the C&I class. Regardless, we continue to experience healthy economies in our service territories with an average unemployment rate of 4% compared to a national rate of 5.5%. Our customer additions remain solid at about 1%. The decline in residential sales is driven by lower customer usage. We believe this trend is due to a combination of factors including appliance efficiency, conservation efforts, and an increase in multi-unit dwellings. We have adjusted our annual electric sales guidance to reflect year-to-date results, which lowers our expected growth rate for 2015 to about 0.5%. We will continue to monitor sales and customer usage and will take appropriate management action if we determine this represents a long-term trend. It is important to note that we will be implementing de-coupling for the residential and small C&I class in Minnesota in 2016, which will offset any decline in customer usage trend. Next I will provide an update on several regulatory proceedings. Additional details are included in our earnings release. Earlier this month, we received decisions on several outstanding items under reconsideration in our Minnesota electric rate case and our Monticello prudence proceeding. The Commission allowed NSP Minnesota to recover its 2015 rate increase beginning in early March and determined that the Monticello extended power upgrade investment was not used and useful until certain NRC conditions were met. These conditions were met in early July. While we believe that the Commission should have concluded differently related to the in-service date of the Monticello project, we will review the written order to determine our next steps. In Colorado, last month we received intervenor testimony in our PSCo multi-year natural gas rate case. The staff recommended a rate decrease, while the Office of Consumer Council recommended a modest rate increase. Primary differences between the Company and other parties were driven by ROE, capital structure, and whether to use a historical test year in the establishment of base rates. The positions recommended by the staff in the OTC were consistent with past positions and we remain confident we will reach a constructive outcome in the case. Finally, I wanted to address our rate case in New Mexico. After another utility in the state had its case dismissed, the New Mexico Commission determined our filing also did not comply with their new interpretation of the statute regarding forward test years and the timing of rate case submissions. As a result, the Commission dismissed our case as well. We believe our filing was consistent with the requirements of the New Mexico legislation that allows for a forward test year and have appealed to the State Supreme Court. While the timing of resolution is uncertain, we plan to re-file the case later this year. This morning we are reaffirming our 2015 ongoing earnings guidance range of $2.00 to $2.15 per share. We are confident in our ability to deliver earnings in our guidance range due to the timing of O&M expenses and revenue recognition from the Minnesota rate case, both of which will provide for a more favorable comparison in the second half of the year. Our guidance range is based on several key assumptions as described in our earnings release. Please note that some of the assumptions have changed. With that, I will wrap up my comments. We are very pleased with the legislation that was passed in Minnesota and Texas during the quarter. The new legislation provides a framework that will allow us to reduce regulatory lag and streamline the regulatory process. As a result, we are confident that we will achieve our goal of reducing the ROE gap by 50 basis points by 2018. Growth projects like the Courtenay Wind Farm are on schedule. We remain on track to limit increases in O&M to 0% to 2% for 2015. The company is well positioned to deliver an attractive total return to our shareholders by growing earnings 4% to 6% annually and our dividend at 5% to 7%. And finally, we are reaffirming our 2015 ongoing earnings guidance range of $2.00 to $2.15 per share. So operator, we will now take questions.
Operator: Thank you. And we'll take our first question from Michael Weinstein with UBS.
Michael Weinstein - UBS Securities LLC: Hi, good morning.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Good morning.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Good morning.
Michael Weinstein - UBS Securities LLC: Hi. Considering the legislation in Texas and the legislation in Minnesota and you are now very confident of increasing or reducing the regulatory lag by 50 bps by 2018, just wondering if, at what point would you consider increasing your long-term growth rate commensurate with the improvement in ROEs?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I think that's what we're focused on is closing that gap. And if we close that gap by 50 basis points that will get us on the upper end of those growth objectives. So you'd have to start to exceed that and see some other things before we would be comfortable doing that Michael.
Michael Weinstein - UBS Securities LLC: Would you say that it would require a, I guess, wait and see after the results of a rate filing in Texas? Is that...?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: We need to implement it. We are working the plan. This is the legislation. While it wasn't essential to close that gap, it's certainly helpful. And now we need to execute on that and let things play out.
Michael Weinstein - UBS Securities LLC: Okay. Thank you very much.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You are welcome.
Operator: We'll take our next question from Travis Miller with Morningstar.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, Travis.
Travis Miller - Morningstar Research: Good morning.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hi, Travis.
Travis Miller - Morningstar Research: Hi, thanks. On the Minnesota legislation, just wonder if you could lay out maybe a more detailed timeline in terms of – I know it's obviously one of your lower spreads on – a wider spread between allowed and earned right now. How do you go about closing that, sort of taking advantage of the legislative items?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, you are absolutely right. We have been under-earning in Minnesota. If you are looking at the charts by the way that were attached, keep in mind that that's a little bit distorted due to some revenue recognition. But you are right; it's been in the mid-8s and we need to improve that. Take a look at what we did in Colorado. When you get into a multi-year plan, I think you've got a much better shot at closing that ROE gap. You are getting all of your capital recovery; you are getting your O&M potentially recovered and I think Travis, the other thing that I think is so important about entering into these multi-year plans is it gives you an opportunity to communicate more frequently with your commissions around important policy decisions, resource plans decisions, where we want to go with our portfolio generation et cetera. So you don't get disconnects. And I think if you look at why we've under-earned, we've had a lot of CapEx going through a funnel. We had to relicense our nuclear plants. We had some challenges there as everyone in the industry did. And we didn't have a lot of forums to communicate some of those challenges. So it's not only the mechanisms associated with the legislation in the multi-year plan; it's kind of what that frees you up to do. And I am optimistic that we will make good progress next year and in the years to come.
Travis Miller - Morningstar Research: Okay, great. Do you think this is something you could do in one cycle for your multi-year plan or is this closing up the gap, would that take two rate cases or two cycles? Is this something that you can close quickly?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, the multi-year plan, as you know the legislation allows for up to five years and allows a number of other things. The regulatory team is busy right now assessing how we put those tools to work, what alternatives we want to present to the department and ultimately the commission and we'll figure out – we'll use the tools that we can and do it in a pragmatic approach. Now, depending on how you structure that, do you get it all in one year? – Not necessarily. But do you get it over the timeframe of the filing? – Yes. That would be the plan.
Travis Miller - Morningstar Research: Great, thanks so much. Appreciate it.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: We will take our next question from Paul Ridzon with KeyBanc.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hi, Paul.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning, Ben. Good morning, Teresa. Have you indicated when you are going to re-file in New Mexico?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: We have just indicated that we will re-file before the end of the year.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: It seems as though the commission has kind of said we want a do-over with PNM. How does that play into the timing?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I mean – are you talking about the appeal or – I mean right now the commission has taken the rule back and is trying to I guess maybe understand their own interpretation of the rules. So we recognize that there might be some time lag with that, Paul. So we will re-file a case that we think will meet their current interpretation of the rules by year end, so we can get to start it while we are trying to sort through what the future test year rule and legislation really means from a administrative standpoint.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Right. I mean, we obviously think that the legislation allows for the forward tester as we had previously interpreted and that's why we are filed with the Supreme Court in terms of an appeal.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Did I answer your question Paul?
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Yes, you did. Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Okay.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And where – you kind of walked down the growth numbers. Where are you seeing the most weakness?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Seeing the most what?
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Weakness.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, I mean – and Teresa, jump in here, but it's really been on the residential side. And we are seeing good growth, Paul; we are seeing about 1% customer growth but what's happening we believe is you've got energy efficiency – some of that we are driving of course. And you have – where we are thinking some of the growth is, is in more multi-unit dwellings which inherently use less electricity. So those two factors combined are putting – or offsetting growth with lower usage per household.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Right. I mean, just to supplement that in the multi-units, we think they use about 50% what a standard, stand-alone dwelling or home would use. So you get the customer growth, but just not at the same pace in terms of adding to our growth.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Have you seen efficiency start to plateau with I guess a lot of the light bulbs already been switched out and a lot of the appliances have been switched out? Where are we in that cycle?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You know that's a really good question, Paul. I mean I think if you look at technology, it's going to continue to get more efficient. Will the pace of that efficiency slow down? – I don't know if I have a crisp answer for you at this point. But I wouldn't think that it's going to plateau and just level off. I think you're going to continue to see more efficiencies; you're going to continue to start to see – as we get to the, ultimately the Internet of Things, even more efficiency. I think we are a few years away from that. But the gas business has been a long-term efficiency cycle and I think we will see that on the electric side. And that's not necessarily a bad thing. It does mean though, back to the earlier comment that we have to start rethinking rate design and what the 21st century regulatory compact and offerings to our consumers look like. That's one of the reasons again, why we think it's so important to have longer-term regulatory compact, so you can have these dialogues with your policymakers.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Thank you very much for your time.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Welcome.
Operator: We'll take our next question from Anthony Crowdell with Jefferies.
Anthony C. Crowdell - Jefferies LLC: Hey, good morning. I just wanted to focus on Minnesota. You're successful at getting a legislation for potentially a five-year deal, but I think previously I think you had the ability to file for three-year deals but I think maybe you filed for two. Is there reluctance on the regulator for granting a longer-term deal? Some states, you see regulators push back on longer-term deals. I wonder what's your feeling or view of that in Minnesota.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, keep in mind that prior to this legislation, the multi-year compact was not really comprehensive. So when we filed, we were able to file for larger step-in type capital programs. This legislation was passed with input from a lot of important parties, including the Department and certainly the Governor's office and it was passed and it was supported. That said, I think to your point, this could be transformative, it's change, and I think our team has to work with the department and make sure that they're comfortable with the pace of what we are doing. So that's what we are trying to assess right now. So your question is a good one. I think the policymakers support it. I think there is a number of reasons why the business community would want this and it's good for our customers and this could be tremendously more efficient than how we process rate cases today. So I am optimistic we are going to use the majority of those tools and come out with something far more comprehensive than we had prior to this legislation.
Anthony C. Crowdell - Jefferies LLC: And I guess on your next filing you would file, you would attempt to get the full five years?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Well, we're going to incorporate a number of the tools. We'll figure out – I mean, I would anticipate that we will look at the five years, figure out how that could be done, but I also anticipate that we'll present the Commission with different alternatives. The key is, get something comprehensive, make use of the tools, and close that regulatory gap. So that is always the first and foremost in mind. And again, we want something that frees up space to have a timeframe that we can work with the Commission on other important policy decisions.
Anthony C. Crowdell - Jefferies LLC: Great. Thanks for taking my question.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: And we will take our next question from David Paz with Wolfe Research.
David A. Paz - Wolfe Research LLC: Hey, good morning.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Hey, David.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Hey, David.
David A. Paz - Wolfe Research LLC: Just on Minnesota filing, when would you expect a final decision? On the November filing.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: The pending case that we haven't filed yet?
David A. Paz - Wolfe Research LLC: Sorry, yes. On the November filing.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: It could take either late in 2016, it could – depending on the schedule, other cases that we know are going to be filed, we could go into 2017. But I think the key thing that's important is we have interim rates and we are anticipating that those will start just as they always have. I mean, that's still part of the new compact that we have starting in January 1, 2016. So I think that's really the key thing to be focused on.
David A. Paz - Wolfe Research LLC: Great. Okay. And separately, did you update your capital plan for the Courtenay Wind Farm?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: We haven't updated it yet; we plan later this year. I mean, we'll do a more comprehensive update. I mean, we have disclosed the cost is about $300 million and so – again, we'll do a more comprehensive look later this year.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: And that project's moving along very well, so...
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Yes.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: David, we expect that the Commission is going to probably rule on – the Commission in North Dakota and in Minnesota will rule on that in August.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Right.
David A. Paz - Wolfe Research LLC: Okay, great. And then just last, I think your projected rate base growth over the period you've outlined is just shy of 5%.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Right.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: That's correct.
David A. Paz - Wolfe Research LLC: And so it looks like Courtenay will be added. Any other potential upside to that growth? I know previously you just said that you guys will do a new look soon. But anything we should think about? I mean you mentioned gas rate base, other type of renewable. Just anything else that we might be missing, particularly as carbon rules get at some point finalized?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: Yes, I mean, we're going to look at all of those opportunities you mentioned. They are not included in the CapEx forecast right now. Maybe there's more opportunities for Courtney Wind type projects, the Calpine projects that we have done in the past. We've got a great backyard and I think there is a number of opportunities that we think makes sense and are keeping with our low-risk profile that we're going to pursue. We're conservative; we're not going to increase our forecast for things that aren't – that you can't touch. But we're certainly going to go after all the opportunities that makes sense for us. And you hit on a couple of them.
David A. Paz - Wolfe Research LLC: Okay, great. Thank you.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Thanks.
Operator: We'll take our next question from Feliks Kerman with Visium Asset Management.
Feliks Kerman - Visium Asset Management: Hi, thank you. Can you just remind us in which states you'll have decoupling in, in 2016?
Teresa S. Madden - Chief Financial Officer & Executive Vice President: We will have it in Minnesota. There is an open docket in Colorado, but it has not been acted on for quite some time. But for sure, we will have it in Minnesota.
Feliks Kerman - Visium Asset Management: And is there expectation that we will achieve the decoupling in Colorado or no?
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: I would think – we're under a multi-year plan there, so, no, we don't anticipate that we're going to have decoupling during this – the current multi-year plan that we have. That said, as you know that we've actually exceeded our authorized return in Colorado. So I think barring some major drop-off, there is no reason to really be concerned in Colorado.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: I agree.
Feliks Kerman - Visium Asset Management: Okay. Thank you.
Benjamin G. S. Fowke - Chairman, President & Chief Executive Officer: You're welcome.
Operator: And that does conclude our question-and-answer session. I'd like to turn the call back over to Teresa Madden, Chief Financial Officer, for any additional or closing remarks.
Teresa S. Madden - Chief Financial Officer & Executive Vice President: Well, thank you all for participating in our earnings call this morning and please contact Paul Johnson and the IR team with any follow-up questions. Thanks again.
Paul A. Johnson - Vice President-Investor Relations: Thank you, everyone.
Operator: And this does conclude today's conference. Thank you for your participation.